Operator: Greetings and welcome to the S&T Bancorp Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. An interactive question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Mark Kochvar. Thank you. You may begin.
Mark Kochvar: Alright, thank you. Good afternoon and thanks for participating in today’s call. Before beginning the presentation, I want to take time to refer you to our statement about forward-looking statements and risk factors, which is on the screen in front of you. This statement provides the cautionary language required by the Securities and Exchange Commission for forward-looking statements that maybe included in this presentation. A copy of the third quarter earnings release can be obtained by clicking on the press release link on your screen or by visiting our Investor Relations website at www.stbancorp.com. I would now like to introduce Todd Brice, S&T's President and CEO, who will provide an overview of S&T’s results.
Todd Brice: Well, thank you Mark and good afternoon, everyone. We are pleased to report net income of $22.7 million or $0.65 per share for the third quarter, which is a 10% increase over 2016 third quarter results of $20.6 million or $0.59 per share. In addition, our performance measurements are very strong with a return on asset of 1.27, return on equity of 10.23 and a return on tangible equity of 15.47. Earnings per share versus Q2 was up 12% when you exclude the $3.6 million in security gains that we booked in Q2, so results this quarter were really just attributed to solid core fundamentals. The highlights for the quarter include net loan growth of $86 million or 6% annualized, a 2 basis point expansion on our net interest margin of 3.59%, increased net interest income of $900,000, controlled expenses resulting in an efficiency ratio of 50.16%, and positive trends in our credit metrics. As far as that goes, net charge-offs for the quarter were $1.5 million or 10% or 10 basis points on an annualized basis. Non-performing assets declined by $7.8 million or 20% and the NPA numbers were impacted by the resolution of the previously disclosed largely C&I credit. And our provision expense for Q3 was $2.9 million, which was $2 million lower than the provision in Q2. From a growth standpoint, we continue to see nice activity across all of our markets, including Western Pennsylvania, Central Pennsylvania, Northeast Ohio, Central Ohio and Western New York. Moving forward, we will continue to make strategic investments in all of our markets to expand our breadth of services and grow revenues in a disciplined manner. As we announced last quarter, we are selling our State College branch and expect the sale to occur in December of this year. Loans and deposits included in the sale are $43 million and $39 million respectively and again the attempt will be to reallocate some of the resources dedicated to that region into other regions where we are experiencing higher growth rates. I am pleased to report that our Board of Directors has approved a 10% increase of $0.02 to our dividend that we paid on November 16, 2017. This is the sixth time that we have increased the dividend over the past 5 years. So, in closing, again, I just want to say that we are very pleased with our performance this quarter, which really is a reflection of good core fundamentals across the franchise and a great job that our bankers do in developing relationships with our clients, which has a long-term positive impact on our franchise. Thank you very much. And at this point, I will turn the call over to our Chief Lending Officer, David Antolik, who will provide additional color on our lending activities.
David Antolik: Thank you, Todd and good afternoon everyone. We are very pleased to report solid loan growth for the third quarter. Results were in line with our expectations and we anticipate mid single-digit annual loan growth moving forward. We continue to focus on expanding our C&I portfolio and our third quarter results showed growth of over $45 million in this category. This growth occurred in spite of a $25 million reduction in three shared national credits. Also reducing C&I balances was the successful exit of the non-performing loan the Todd mentioned in his comments. Our utilization rates remained stable at 42% compared to Q2 with growth being driven by new customer acquisition and an expansion in total line commitments. We continue to actively manage our commercial lending activities based on our desire to diversify the portfolio and with a focus on dedicating staff and resources to markets and segments with the greatest opportunities. As a result, virtually all our growth this quarter was driven by market expansion in Central and Northeast Ohio and Western New York along with solid activity in our dedicated small business lending division. With regard to our commercial real estate activities, balances grew by $17 million in the permanent portfolio, while construction balances grew by $6 million. For the quarter, our unfunded construction commitments remained flat when compared to Q2 and are approximately 20% lower than at year end 2016. As a result, we do dissipate a reduction in construction outstandings as we enter the 2018 building season. This anticipated reduction is being driven by tempered demand and our active management of certain construction segments, including multifamily and retail. Our pipelines are down slightly from Q2 but reflect stronger activity in both our C&I and small business segments. As a challenge to the fourth quarter growth, we anticipate higher payoffs in our commercial real estate book as permanent lenders have become more aggressive in acquiring CRE assets. In conclusion, I believe that we remain exceptionally well-positioned in order to provide solid results moving forward and to manage our growth to the benefit of our shareholders. And now, Mark will provide you with additional details on our financial results.
Mark Kochvar: Alright. Thanks, Dave. The net interest income improvement in the third quarter of 2017 compared to the second quarter of ‘17 of $900,000 was due to an extra day combined with the net benefit of the Fed increase late in the second quarter. We are seeing a very competitive environment on the funding side as evidenced by an 8 basis point increase in total costing liabilities. Due to lag in deposit betas and no additional Fed increases expected until December at the earliest, we expect the net interest margin rate to compress by 2 to 3 basis points in the fourth quarter. Net interest income will however benefit from the third quarter loan growth coming late in the period. The net interest margin rate moving into 2018 will depend on the level and pressure on deposit rates due to increased competition and customer expectations offset by any further Fed moves. The total deposit increase of $33 million this quarter includes a decline in broker deposits, up $20 million to know that deposits were up about $53 million in the third quarter. The deposit mix improved with $47 million increase in average DDA balances. Excluding the security gains in the second quarter, non-interest income increased by about $900,000. The biggest variance came from a bully claim of approximately $700,000. Non-interest expense again exhibited good control with expenses being essentially flat on a quarterly basis through the first three quarters of the year. We expect expenses to be in the same $36 million to $37 million range in the fourth quarter as well. Moving into 2018, we expect expenses to remain well-controlled with modest increases in the low single-digits on a full year your basis. Tax rate in the third quarter was 28.1%, up slightly from prior quarters due to improved pre-tax earnings. We expect the full year tax rate to be in the 27.5% area. Our risk weighted capital ratios improved by about 17 basis points in the third quarter due to our strong earnings and we continue to be comfortable with our capital levels. Thanks very much. At this time, I would like to turn it over to the operator to provide instructions for asking questions.
Operator: Thank you. [Operator Instructions] Our first question is from Matthew Breese from Piper Jaffray. Please go ahead.
Matthew Breese: Good afternoon, everybody. Just want to dive into loan growth in the sense of fourth quarter might be little weak as construction stuff pays off. What’s given you the confidence in the 2018 that we will see a resumption of that, that mid single-digit growth?
Todd Brice: There is really activity in the CRE space that we are seeing and its matter of us dedicating more resources to that space. We also have an expanded pipeline in our small business area as well. So to your point, fourth quarter as I mentioned could be challenged based on the timing of some payoffs that we anticipate as well as a reduction in construction commitments.
Matthew Breese: Got it. Okay. And then maybe just on the expense front, I mean you guys have done a fantastic job here maintaining basically flat all year, it sounds like it can run that way through year end. I mean, at what point, do we see that start to break and move a little bit higher where you have to invest in the franchise a bit more?
Todd Brice: We have been making investments in the franchise, Matt, but again we were able to reallocate resources we might every time in one area on the personal front and then you move it into another area just don’t replace. So, I mean that efficiency ratio is very important to us in maintaining that. So we are getting the budgeting process now, but kind of the last couple of years what we have targeted is expense growth in that 2% to 3% range and our goal looking out to next year is that continue down that path.
Matthew Breese: Right, okay. No, I didn’t mean to take anything away from the reinvestment, it’s just the flat expenses is exceptional.
Todd Brice: But even though this year that we have added – we have added bankers and markets on the revenue side and we will continue to do so. Next year, we think there are opportunities and Dave said in some of these higher growth markets that we can fill out the franchise a little bit and introduce some new services or revenue lines mortgage in certain areas, wealth management in certain areas and but again we are going to do without going crazy on blowing up the expense structure.
Matthew Breese: Right. And then as I think about just overall profitability, some meaningful improvements year-to-date, as you look into your crystal ball, I mean is there anything really stopping you from continuing up 1.15 to 1.25 kind of ROA from here on out?
Todd Brice: I mean, that’s our target and we are going to try to manage to keep it there.
Matthew Breese: Great. And then my last one is really on the stock has shown some strength recently and just wanted to get your thoughts on M&A and activity in your market and whether or not you think things are picking up and you might participate?
Todd Brice: I think activity level I’ll start with that first, but I think it’s somewhat muted right now, not a lot of opportunities out there from what we are hearing, but yes, with the increase in the stock valuation and it certainly makes your currency a lot stronger and we like the capital levels, we continue to build capital. So, we are just going to continue to position ourselves that if something comes up we will certainly give it a good hard look, but really how we manage the company is to grow it organically and we made investments in the five markets that we talk about and the people in those markets and we like our position as we look forward to ‘18 just from an organic perspective.
Matthew Breese: That’s great. That’s all I had. Thanks for taking my questions.
Todd Brice: You bet. Thank you.
Operator: Our next question is from Matt Childers with Boenning and Scattergood. Please go ahead.
Matt Childers: Good afternoon.
Todd Brice: Hi, Matt.
Mark Kochvar: Hi, Matt.
Matt Childers: Excuse me. Quick question on the branch sale on State College, what type of gain are you expecting to book with that?
Todd Brice: Well, it will depend on the composition of the deposits by the end, but something around $1 million.
Matt Childers: Okay. And correct me if I am wrong, did you rebrand Integrity this last quarter?
Todd Brice: Yes, that was in September, it was right after Labor Day.
Matt Childers: And then how was the market – how has the market reaction been so far?
Todd Brice: Been very good. So, we have done a lot of work up to that point to make sure people knew what the S&T – we heard positive results, Matt.
Matt Childers: Okay.
Todd Brice: The other thing it provides is our new or it’s not new, but our Director of Wealth Management, Greg Lefever, came out of that market. And so we have talked to this fellow that makes a lot of sense to attack the market as one organization.
Matt Childers: Right.
Todd Brice: Yes, so we can leverage the brand. I mean, Integrity is well known and a good brand out there, but we think moving forward this is the appropriate course of action to take.
Matt Childers: Right. And were there any costs embedded with re-branding in the third quarter results?
Todd Brice: It was pretty minimal. Actually, we think we are going to let’s say how to save going forward just by having more efficiencies on producing marketing…
Mark Kochvar: Marketing websites, we have some signage expense switch some of that over, but it wasn’t really.
Todd Brice: I could capitalize anyway. So, it didn’t have a big impact on quarter results at all.
MattChilders: Understand, understand. And sort of the last question, a bigger picture question I guess is, are you seeing any change in customer behavior or your approach to the business in Pennsylvania due to the budget impasse?
Todd Brice: Right now, Matt, I want to say no, but last year as that thing dragged on, it definitely had an impact in a lot of areas, but so far we haven’t seen any analyst that – he is shaking his head as well. So, but it’s something that we are monitoring.
MattChilders: Okay, thank you.
Todd Brice: Thanks, Matt.
Operator: [Operator Instructions] And our next question is from Daniel Cardenas from Raymond James. Please go ahead.
Daniel Cardenas: Good afternoon, guys.
Todd Brice: Hi, Dan.
Mark Kochvar: Hi, Dan.
Daniel Cardenas: Just a quick question and just kind of going back to your branch sale, are there anymore branch rationalization sales kind of coming up in 2018 or do you guys think you have just pretty much this one and done?
Todd Brice: Yes. I mean, we continue to look at it, but I think we like how we are positioned from the branch footprint right now and we don’t see any major deviation from where we are today.
Daniel Cardenas: Okay. And then maybe some color on…
Mark Kochvar: Hey, Dan. Just to elaborate on that too. If you look over the last year to 2 years, we closed the number of branches. So, we have really pushed up our average deposits per branch right around $90 million or so. So, we like that number that’s kind of how we look at it from a macro picture.
Daniel Cardenas: Okay, alright. Good, good. Alright. And then just in terms of deposit pricing pressures what are you seeing is, is there any one section of your footprint that’s perhaps showing more intense pressures than others and how are you thinking about deposit betas going forward?
MarkKochvar: This is Mark. There has been pressure on pretty much all the markets and we are seeing a lot of money market rates that are above 1% up to 1.30% range. On CD, specials are plentiful and very competitive sort of also in the just under 1 year, even after 5 years, there is a number of specials, but it doesn’t seem to be any, it seems to be all the markets that are seeing that. From the betas, we do expect there to be some continued upward movement there. They do lag as people re-priced their CDs and come in with all the press about higher rates and that’s what’s behind the couple of basis points compression we expect in Q4, since if the Fed does move it won’t be till mid-December, so we won’t get lot of help on the asset side from that.
Daniel Cardenas: And kind of just given where your loan to deposit ratio is right now, is it just kind of the high watermark that we are seeing here or can this number go a little bit higher?
MarkKochvar: Yes, I mean definitely, I mean it’s where we are on the high side. We would like to keep it in this range and not go a whole lot higher from here. So, that puts a little bit more pressure on us to maintain deposit levels and pricing is part of that.
Todd Brice: Like I said, the last quarter was nice activity on the DDA side. So, we are focusing on what type of deposit we are trying to get as well.
MarkKochvar: Right. And on the commercial side, the move into more C&I lending does help the mix there is more likely to get deposits and then more likely to be lower cost deposits from that at that line of business or that segment of loan activity.
Daniel Cardenas: Okay, alright. That seems fair. Alright. And then on the tax rate, I missed the guidance that you gave Q4. Could you hit that again please?
MarkKochvar: We are looking at for the full year about 27.5 is our estimate, full year tax rate.
Daniel Cardenas: Okay. Do you think that carries over into 2018?
MarkKochvar: It might tick up a little bit just the amount of our loan cum housing credits start to burn off and the improvement that we continue to expect on the pre-tax side, we will probably see a – we haven’t come up with a number yet, but we should – we will probably see a slightly higher effective tax rate unless there is tax reform, then all bets are off.
Daniel Cardenas: And you guys are modeling that?
MarkKochvar: I think we have to get that one.
Daniel Cardenas: Alright. I think that will do it for me right now. Thanks, guys.
Todd Brice: Okay. Thanks, Dan.
Operator: Our next question is from Collyn Gilbert from KBW. Please go ahead.
Collyn Gilbert: Thanks. Good morning or good afternoon, guys. Just to follow-up on some of the competitive discussions, Mark, that you were saying on the deposit side, maybe David, are you – what are you seeing on the lending side within your markets as it relates to sort of competitive pressures and how does that tie-in. I know you guys have said before that you were probably more mindful of preserving the NIM and maybe sacrificing some growth in order to get there? And just kind of want to see how you are thinking about that balance as we look out into the fourth quarter and then into next year as well?
MarkKochvar: Yes, that thought process and you certainly saw that last quarter in terms of muted loan growth. So, we are going to do everything we can to protect the NIM, keep pressure off of deposit pricing as much as we can and still grow, but the growth rates are going to be mid single-digit rather than high single-digit. Where we do see the ability to grow is particularly in that small business segment, which is much more personal. The corporate deals tend to get send out to five banks and the borrower examines five sheets of paper from 500 banks and makes the decision that the small business borrower tends the need to react more quickly. We need to react more quickly and they need credit decisioning more quickly and that’s what we can deliver service. So, that thought process does continue.
Collyn Gilbert: Okay. And then are you seeing anything in the way in terms of your rationality among your competitors on the lending side whether its structure terms and is that impacting the level of pay-downs that you are seeing in your own portfolio?
MarkKochvar: In the CRE space, particularly on construction deals, we are seeing some pretty irrational higher leverage deals than what we would be comfortable with. There is still expanded interest only periods. Per-market lenders are being more aggressive in taking out deals that are stabilized for shorter periods and they may have required a few years back. So, there is definitely some more aggressive competition in the CRE space. We are holding our own in the C&I space. So, that’s the real bright spot for us. And I think that’s more about the markets that we are in and the staff that we have in our ability to build relationships there.
Collyn Gilbert: Okay, that’s helpful. And then Todd, just back to $90 million deposits per branch, do you know how that would have been I don’t know 3 years ago or so, has that changed a lot just starting with a high number?
Todd Brice: Yes, that was probably in like the $65 million to $70 million range, Collyn. So, we pushed it up.
Collyn Gilbert: Okay. And I know and remind me again how many branches you have closed over time, I mean, I don’t know how much of that is just branch closures or just the growth in deposits, but just trying to think through that metric a little bit more?
Todd Brice: Yes, it’s probably been a market looking each other, because that probably over 3 or 4 years. We did 3 last year, right.
Collyn Gilbert: Okay, great. I will leave it there. Thank you.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the floor back over to management for any closing comments.
Todd Brice: So, I just want to thank everybody for participating in today’s call. Mark and Dave and I appreciate the opportunity to discuss the quarterly results and look forward to hearing from you at our next conference call. So, have a good today.
Operator: This concludes today’s teleconference. Thank you for your participation. You may disconnect your lines at this time.